Operator: Good day, and thank you for standing by. Welcome to the Westwood Holdings Group Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jill Meyer, Chief Legal Counsel. Please go ahead.
Jill Meyer: Thank you, and welcome to our second quarter 2025 earnings conference call. The following discussion will include forward- looking statements that are subject to known and unknown risks, uncertainties and other factors, which may cause actual results to be materially different from those contemplated by the forward-looking statements. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today as well as in our Form 10-Q for the quarter ended June 30, 2025, that will be filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings and economic earnings per share to the most comparable GAAP measures is included at the end of our press release issued earlier today. On the call today, we have Brian Casey, our Chief Executive Officer; and Terry Forbes, our Chief Financial Officer. I will now turn the call over to Brian Casey.
Brian O'Connor Casey: Good afternoon, and thank you for joining us for Westwood's Second Quarter 2025 Earnings Call. I'm pleased to share our results and key developments from the past quarter as well as our outlook for the remainder of the year. Today, you will hear about several significant milestones and achievements. WHG was added to the Russell 2000 Index, enhancing institutional accessibility. MDST surpassed the $100 million AUM milestone, validating our ETF strategy. WEBs launched 11 sector ETFs, expanding our innovative ETF platform. MIS delivered its first client account, infrastructure and real assets. We achieved positive net flows across several key strategies, including ETFs, private funds and energy. Assets under management reached $18.3 billion, up 9% from $16.8 billion in Q2 of last year. The past quarter exhibited significant volatility with markets peaking in February, then experiencing a sharp decline in early April before ultimately recovering to post new highs by quarter end. The announcement of Liberation Day, along with reciprocal tariffs triggered the worst 2-day market meltdown since March of 2020, with markets falling sharply over the following week. Amid this chaos, the administration then announced a 90-day tariff pause, which immediately sparked a strong rally. The S&P 500 finally finished out the quarter with solid gains, reaching new all-time highs. Growth stock significantly outperformed value across market capitalizations during this period. In this unsettled environment, our investment strategies continue to demonstrate resilience across multiple time horizons and asset classes. Within our U.S. Value strategies, approximately 2/3 are outperforming their benchmarks over a trailing 3-year periods and 3/4 of these strategies are outperforming over the trailing 5-year period. Among our peers, our SMidCap and MidCap strategies are particularly well positioned in the competitive rankings. Our multi-asset strategies are demonstrating solid long-term growth with multi-asset income and Income Opportunity, both outperforming over the trailing 5-year period. Our Credit Opportunity strategy just celebrated its 5-year anniversary. And it continues to post benchmark-beating results and strong peer rankings across a variety of time periods. Our Salient Energy and real asset strategies continue to deliver long-term competitive performance while our tactical growth and tactical plus strategies are providing good downside market protection. Our income enhancing strategies in real estate and energy provides generous and growing levels of income while also delivering capital appreciation. Looking ahead, we expect continued market volatility driven by uncertain trade policy developments and varying economic indicators. However, we believe that our focus on high-quality businesses with strong fundamentals, positions us well. When market leadership broadens out beyond mega-cap technology stocks and as business fundamentals once again matter more, companies demonstrating reliable cash flows, reasonable valuations and proven business models tend to outperform. History shows that our approach of combining quality characteristics with attractive valuations has consistently delivered strong results across all market cycles, particularly during periods of economic uncertainty like these. Our institutional channel delivered solid results with $251 million in gross sales and net outflows of $60 million, driven primarily by sub-advisory rebalancing. We funded 2 SMidCap CIT mandates and won a large defined contribution plan in our SMid strategy with funding anticipated in the fourth quarter of this year. Our pipeline remains robust across multiple strategies and we continue to conduct constructive conversations regarding our managed investment solutions capabilities. The intermediary channel achieved $151 million in gross sales with net outflows of $33 million representing our strongest sales quarter since 2022. We're particularly encouraged by our successful private fundraising initiative and a continued momentum propelling our energy and real asset products. MDST, our Enhanced Midstream Energy ETF surpassed $100 million in assets milestone, and we are pleased with the addition of 3 major broker-dealer platforms, significantly expanding our distribution reach. During the quarter, Westwood Wealth Management continued to optimize operations, enhance the client experience and invest in our long-term strategy. Our technology investments are driving greater efficiency and improved service delivery, while our advisory teams remain focused on deepening relationships and providing proactive guidance. We are tracking toward our gross inflows goals for the year, though net flows reflect the broader market environment and planned client reallocations. Looking ahead, we are thoughtfully evolving into a multifamily office model designed to serve the complex needs of ultra-high net worth families across Texas. This shift aligns with client demand and industry trends and allows us to deliver more comprehensive solutions, increase value to our clients and position Westwood for long-term margin expansion. We are executing this transition with care, preserving the trusted relationships we've built, maintaining disciplined cost management and ensuring continuity of great service as we go forward. Operational improvements across our Wealth Management division reflect the broader strategic progress we've made throughout our organization this quarter. Beyond our core business performance, we've achieved several significant milestones that strengthen our competitive position and expand our market opportunities. Westwood was added to the Russell 2000 Index during its most recent index reconstitution, which is expected to enhance our trading volume and broaden our institutional investor base as we begin our 24th year as a public company. Our MDST ETF reached a significant $100 million milestone just over a year after its launch, with an annualized distribution rate of 10.2%. This achievement validates our differentiated strategy and opens doors to additional platform approvals. The WEBs partnership continues to expand with 11 sector ETFs utilizing the defined volatility strategy launched in late July. Our WEBs defined volatility ETFs are performing precisely as designed during the period of market uncertainty providing the volatility management that investors seek in challenging environments. These products exemplify our commitment to delivering innovative solutions that address specific investor needs across different market conditions. Our newest addition, the Westwood LBRTY Global Equity ETF has demonstrated strong initial performance since its late March launch, outperforming its benchmark and ranking in the top quartile among global equity ETFs. We successfully funded our first MIS infrastructure product and seeded a new liquid real asset strategy to address growing institutional demand for liquid alternatives. This transparent rules-based approach uses risk parity weighting across energy, real estate, natural resources and infrastructure. Lastly, our Energy secondaries business continues to grow, raising $82 million in new capital so far this year across 4 funds and total assets under management now aggregate $165 million. This is a good example of our ability to capitalize on opportunities and specialized alternative investment strategies. As we reflect on the second quarter and look ahead, we remain confident in our strategic positioning and the value we provide to our clients. Our diverse range of strategies, expanding ETF platform and robust institutional pipeline position us well for continued growth. The momentum in our energy strategies, achievement of key ETF milestones and successful expansion with managed and investment solutions demonstrate our ability to innovate while maintaining our core strengths in active management. With our strong foundation and proven ability to deliver results across market cycles, we believe we are well positioned to capitalize on opportunities as market leadership potentially broadens out towards quality and value-oriented investments. Thank you for your continued support and confidence in Westwood. I'll now turn the call over to our CFO, Terry Forbes.
Terry Forbes: Thanks, Brian, and good afternoon, everyone. Today, we reported total revenues of $23.1 million for the second quarter of 2025 compared to $23.3 million in the first quarter and $22.7 million in the prior year second quarter. Revenues were flat to both periods. Our second quarter income of $1 million or $0.12 per share compared with $0.5 million or $0.05 per share in the first quarter on lower operating expenses primarily related to the timing of compensation and benefit payments. Non-GAAP economic earnings were $2.8 million or $0.32 per share in the current quarter versus $2.5 million or $0.29 per share in the first quarter. Our second quarter income of $1 million or $0.12 per share compared favorably to last year's second quarter loss of $2.2 million or $0.27 per share due to changes in the fair value of contingent consideration in 2024, offset by an increase in income tax expense in 2025. Economic earnings for the quarter were $2.8 million or $0.32 per share compared with an economic loss of $0.5 million or $0.06 per share in the second quarter of 2024. Firm-wide assets under management and advisement totaled $18.3 billion at quarter end, consisting of assets under management of $17.3 billion and assets under advisement of $0.9 billion. Assets under management consisted of institutional assets of $9.2 billion or 53% of the total, wealth management assets of $4.2 billion or 24% of the total and mutual fund assets of $3.9 billion or 23% of the total. Over the quarter, our assets under management experienced net outflows of $0.2 billion and market appreciation of $0.6 billion and our assets under advisement experienced market depreciation of $15 million and net outflows of $13 million. Our financial position continues to be solid with cash and liquid investments at quarter end totaling $33.1 million and a debt-free balance sheet. I'm happy to announce that our Board of Directors approved a regular cash dividend of $0.15 per common share payable on October 1, 2025, to stockholders of record on September 2, 2020. That brings our prepared comments to a close. We encourage you to review our investor presentation we have posted on our website reflecting quarterly highlights as well as a discussion of our business, product development and longer-term trends in revenues and earnings. We thank you for your interest in our company, and we'll open the line to questions.
Operator: [Operator Instructions] And I'm showing no questions at this time. I'd like to turn it back to Brian Casey for closing remarks.
Brian O'Connor Casey: Well, great. Thank you very much. I don't blame you for not having any questions on a Friday afternoon, and I apologize for having our call on a Friday, we've never done this before, and I hope to never do it again but it was due to a changes in schedule. So it was the only choice we have. So thanks for listening today. I'll just close it out by saying that we're really excited about our 24th year as a public company. We've got a really strong pipeline of traditional business of over $2 billion. We've started 3 new businesses in the last 18 months, our Managed Investment Solutions business, Private Equity business and our ETF platform with MDST making it to $100 million and it's currently about $128 million. WEEI [indiscernible] in our WEBs business. And by the way, I'd encourage you to visit if you haven't seen it yet websinv.com and learn more about our WEBs defined volatility products. We have 1 that's based on the SPY and 1 on the QQQ, and in addition, we have 1 for each of the 11 S&P 500 sectors. We're really excited about the direction we're taking our wealth business to a multifamily office model serving Texas families. So again, appreciate you listening on a Friday afternoon, and I hope everybody has a great weekend. Please call Terry or myself if you have any questions.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.